Operator: Welcome to the OMV Results January to June and Q2 2025 Conference Call and Webcast. [Operator Instructions] Please be advised that today's conference is being recorded. At this time, I would like to refer you to the disclaimer, which includes our position on forward-looking statements. These forward- looking statements are based on beliefs, estimates and assumptions currently held by and information currently available to OMV. By their nature, forward-looking statements are subject to risks and uncertainties that will or may occur in the future and are outside the control of OMV. Therefore, recipients are cautioned not to place undue reliance on these forward-looking statements. OMV disclaims any obligation and does not intend to update these forward-looking statements to reflect actual results, revised assumptions and expectations, and future developments and events. This presentation does not contain any recommendation or invitation to buy or sell securities in OMV. I would now like to hand the conference over to Mr. Florian Greger, Head of Investor Relations. Please go ahead, Mr. Greger.
Florian Greger: Yes. Thank you. Good morning, ladies and gentlemen, and welcome to OMV's earnings call for the second quarter 2025. With me on the call are OMV's CEO, Alfred Stern; and Reinhard Florey, our CFO. As always, Alfred will walk you through the highlights of the quarter and discuss OMV's financial performance. Following his presentation, both gentlemen are available to answer your questions. And with that, I'll hand it over to Alfred.
Alfred Stern: Thank you, Florian. Ladies and gentlemen, good morning, and thank you for joining us. The second quarter of 2025 was marked by announcements of U.S. tariffs, which weighed on global economic sentiment and triggered a broad-based sell-off across many asset classes, including oil. In early May, Brent prices dropped to their lowest levels in several years, briefly dipping below $60 per barrel. Recovery was limited by the accelerated OPEC+ unwind ahead of the Israeli Iran hostilities in June with Brent prices averaging $68 per barrel during the quarter. European gas prices also saw a sell-off in April. However, this was followed by a moderate recovery and then a more pronounced rally in June, averaging EUR 36 per megawatt hour, 16% above the same quarter of 2024. The refining indicator margin averaged $8.1 per barrel, thus higher than both the previous quarter and the same period last year, supported by global supply outages, rising geopolitical tensions in the Middle East and weaker feedstock prices. European olefin indicator margins increased primarily due to lower feedstock costs and were further supported by both planned and unplanned outages as well as the permanent closure of European crackers. Polyolefin indicator margins in Europe showed a mixed trend. While the polyethylene indicator margin improved, supported by lower feedstock costs, the polypropylene indicator margin declined. The overall economic environment remained challenging. Additionally, increased competition from lower-priced imports, particularly for commodity grades continues to exert pressure. While specialty grades, which are less exposed to imports have also faced soft demand and a difficult export environment, they have shown some resilience compared to commodity segments. Looking at the second quarter, our polyolefin sales volumes, including joint ventures, grew by 5% year-on-year, driven by a particularly strong increase in volumes sold by Borealis. Fuel sales volumes remained broadly stable. Hydrocarbon production was 10% down year-on-year, primarily related to the divestment of our Malaysian assets last year. The Clean CCS operating result came in at around EUR 1 billion, 16% below the prior year quarter and 11% lower than the first quarter of this year. Clean CCS earnings per share amounted to EUR 1.18. Cash flow from operating activities reached almost EUR 1.1 billion, only 8% below the prior year quarter. Before I go into the details of the second quarter financial results, let me give you a short update on OMV's strategic progress. I'm pleased to provide you with an update on the progress of Borouge Group International. We have achieved several key milestones in recent months. We have secured foreign direct investment approval in Austria, and we have also obtained merger control clearance in important jurisdictions, including the European Union and China. On the organizational side, discussions regarding recruitment for the post-closing Executive Board and executive leadership team roles are well underway. Several key positions are already in the advanced stages of evaluation, and we have engaged external advisers to ensure a robust and impartial selection process. Finally, I'm pleased to report that active work streams between ADNOC and OMV are focusing on planning for day 1 readiness and establishing the framework for realization of synergies. These collaborative efforts are essential to ensuring a smooth and successful integration. In the Black Sea, our Neptun Deep mega project is progressing according to plan, on schedule and within budget. In March, OMV Petrom started development drilling in the Pelican South field, while progressing with the fabrication of equipment and construction of the natural gas metering station. In addition, OMV Petrom continued its gas marketing activities. In the Han Asparuh Block, adjacent to the Neptun Block, OMV Petrom has partnered with NewMed Energy in the exploration license, while maintaining its role as operator. The plan is to drill two exploration wells with the first well scheduled to begin in the fourth quarter of this year. In Chemicals, Borealis announced the investment of over EUR 100 million in a new production line at its Burghausen site in Germany to triple the output of innovative, fully recyclable Daploy High Melt Strength polypropylene foam. Developed at Borealis Innovation headquarters in Austria, this lightweight and durable material supports circular solutions in automotive, consumer goods and construction sectors. It will help increase the share of specialty products, which command higher margins. The start-up is planned for the second half of 2026. In Fuels & Feedstock, we announced the final decision to invest a mid-3-digit million euro figure in a new flagship green hydrogen plant in Austria. With an annual production capacity of up to 140 megawatts of green hydrogen, the new plant will be among the largest in Europe. Scheduled to start up at the end of 2027, the facility will use renewable energy from wind, solar and hydropower to produce green hydrogen, which will be used solely at our Schwechat refinery. This new electrolyzer project will leverage the expertise gained from our new 10-megawatt electrolyzer facility that started operations in April this year. OMV expects to reduce CO2 emissions by approximately 150,000 tons per year. This reduction will lower the cost of CO2 certificates and will ensure OMV's compliance with the targets set by the European Renewable Energy Directive. In Energy, OMV Petrom expanded its regional presence by acquiring a 50% stake in the Gabare solar project, one of Bulgaria's largest photovoltaic initiatives. The solar park will have an installed capacity of approximately 400 megawatts. The final investment decision is expected by the end of 2025, with commercial operations targeted for 2027. The partners plan to invest around EUR 200 million in the project, including external financing. OMV Petrom has already secured 2.4 terawatt hours per year of prospective power production capacity by 2030, in line with the Strategy 2030. Let me now discuss the performance of our business segments in the second quarter of this year. Compared to the second quarter of 2024, the clean operating result of Chemicals increased to EUR 200 million, supported by the stop of Borealis depreciation, improved olefin indicator margins and substantially higher sales volumes. In our European business, we recorded positive market effects of EUR 75 million, attributable to rising olefin and polyethylene indicator margins. However, due to declining feedstock prices, inventory effects were significantly negative, weighing on the result by EUR 57 million compared with the second quarter of 2024. The utilization rate of our European crackers was 82%, thus at a similar level to the prior year quarter. While lower rates at Stenungsund and Porvoo impacted last year's figures, this year's second quarter was affected by the planned CDU shutdown in Burghausen and turnarounds at some of our customers' facilities. The contribution of Borealis, excluding joint ventures, increased by EUR 72 million, supported by the stop of depreciation, while both the base chemicals and polyolefins contribution decreased. The base chemicals result was affected by a significantly lower light feedstock advantage, more negative inventory effects and weaker realized margins. The polyolefin contribution was impacted by substantially negative inventory effects partly compensated for by higher sales volumes and higher realized margins in specialty products. Polyolefin sales volumes of Borealis, excluding joint ventures rose by 17% due to a significant increase in consumer products, energy and infrastructure, and was supported by pre-sales activities ahead of the SAP migration in July. Sales volumes in mobility and healthcare remained flat. The realized margin for specialty products increased significantly, driven by both higher unit margins and volumes, while the realized margin for standard products declined. Additionally, a portion of the volumes sold was supplied by Borouge and Baystar, for which Borealis only receives a sales commission. The contribution of the JVs declined slightly to EUR 41 million. Due to the accounting effect of the reclassification, only the Borouge contribution is now included in the operating result as Baystar is no longer consolidated as of March. The Borouge results declined compared to the second quarter of 2024 due to lower sales volumes impacted by the planned turnaround at Borouge 3 and sluggish demand in Asia. The Clean CCS operating result of Fuels & Feedstock declined by 21% to EUR 242 million, impacted by planned refinery shutdowns, a lower contribution from ADNOC Refining & Trading and higher utility costs. The European refining indicator margin rose by 15% to $8.1 per barrel. This was partially offset by the lower refining utilization rate, which declined by 6 percentage points to 83% because of planned turnarounds at the Burghausen and Petrobras refineries. The contribution of the marketing business increased compared to the second quarter of 2024. The retail performance was better, driven by higher fuel margins and increased sales volumes following the acquisition of retail stations in Austria and Slovakia in 2024. The result of the commercial business was similar to the second quarter of last year. A strong aviation business was offset by lower contribution from other products. The contribution of ADNOC Refining & Global Trading was zero. The decrease compared with the previous year quarter was mainly due to weaker operational performance and lower trading results. The clean operating result of the Energy segment declined by 28% to EUR 588 million, primarily due to significantly lower oil prices and the negative impact of the euro-dollar exchange rate development. This was only partially offset by higher gas prices and a net positive impact from litigation outcomes in Romania. The realized oil price fell by 19% to $66 per barrel, in line with the Brent price development. In contrast, the realized gas price increased by 25% to EUR 29 per megawatt hour, outperforming the rise in European benchmark prices. The unfavorable exchange rate development weighed on the result by around EUR 50 million compared with the prior year quarter. Production volumes declined by 10%, mainly due to the divestment of the Malaysian assets, which contributed around 26,000 BOE per day in the second quarter of 2024. Production was impacted by planned maintenance and natural decline in Romania as well as lower well deliverability and natural decline in New Zealand. These effects were partly offset by higher output in Libya and Norway. Unit production costs increased to $10.9 per barrel, because of lower production volumes. However, absolute cost decreased. Sales volumes declined by 14%. In addition to lower production, the sales volumes in Norway and Libya decreased due to the lifting schedule. The result of Gas Marketing & Power reduced by minus EUR 6 million, driven by weaker supply margins and lower realized premium and gas sales to industrial customers in Gas West. Gas East delivered a better result stemming from both the Gas and Power business lines. This was driven by higher gas sales volumes, increased output of the Brazi power plant and favorable market price developments. The Power business continues to be affected by the regulations introduced by the Romanian government in April 2024, although the impact was less significant in the prior year quarter. These Power regulations have expired in June 2025. However, the Gas regulations will remain in effect until the end of March 2026. Turning to cash flows. Our second quarter operating cash flow, excluding net working capital effects, was EUR 831 million, only slightly below the second quarter of 2024 as a significant negative impact of lower oil prices was partially offset by reduced income tax payments. The prior year period also included solidarity contribution payments in Romania. Net working capital effects in the quarter were positive and amounted to around EUR 250 million. We received dividends, including Borouge and Pearl Petroleum in the quarter, totaling EUR 213 million. As a result, cash flow from operating activities amounted to around EUR 1.1 billion, only 8% lower than in the second quarter of 2024. As part of investing cash flow, we recorded a significant cash inflow of around EUR 1.1 billion in the second quarter. This includes EUR 457 million from the divestment of our 5% stake in the Ghasha concession in the UAE and a EUR 656 million loan repayment from Bayport in the U.S. As usual, the second quarter reflects the payment of our annual dividends, along with dividends to minority shareholders in OMV Petrom and Borealis, resulting in negative free cash flow for the quarter. Looking at the half year picture, cash flow from operating activities came in at EUR 2.4 billion, representing a decrease of 19% compared to the first half of 2024, reflecting weaker oil prices and lower dividends received, partially compensated for by a lower income tax paid and the solidarity contribution paid in 2024. Organic cash flow from investing activities in the first half year was around EUR 1.8 billion related to ordinary ongoing business investments and major growth projects such as Neptun Deep, the PDH plant in Belgium, the SAF HVO plant in Romania, and the green hydrogen plants in Austria. Free cash flow before dividends in the first half of 2025 was 8% higher than in the same period of last year. Our balance sheet remained very strong. Proceeds from the divestment of our stake in Ghasha concession and the Bayport loan repayment were able to compensate for the high cash outflow related to the annual dividends. As a result, the leverage ratio remained stable at 12%. At the end of June, OMV had a cash position of EUR 6 billion and EUR 4.2 billion in undrawn committed credit facilities. Let me conclude with an updated outlook for this year. We maintain our full year forecast for the average Brent price of around USD 70 per barrel. We now expect the average THE price to be around EUR 40 per megawatt hour, while the realized gas price is projected to be between EUR 30 and EUR 35 per megawatt hour. In the Chemicals market, some of the European indicator margins were stronger than expected in the first half of the year. Although demand remains subdued, margins benefited from lower feedstock costs and capacity closures at European crackers. We remain cautious for the second half of the year as demand is not expected to show significant improvement and the potential impact of tariff implementation on the market remains uncertain. Considering developments in the first half year, we are increasing our outlook for the European olefin indicator margins to above the previously assumed values of EUR 520 per ton for ethylene and above EUR 385 per ton for propylene. For polyolefins, we expect the polyethylene indicator margin to be significantly above EUR 400 per ton and the polypropylene indicator margin to be around EUR 400 per ton. Borealis was able to grow volumes significantly in the first half of 2025, and we expect this positive trend to continue. As a result, we are raising our full year outlook for Borealis sales volumes by 200,000 tons to around 4.3 million tons. In Fuels & Feedstock, the refining indicator margin improved significantly in the second quarter, driven by the strength of motor gasoline crack spreads. The start of the third quarter has also been encouraging. As a result, we are upgrading the full year outlook from $6 to over $7 per barrel. Finally, we would like to inform you about changes in the Norwegian tax payment schedule. As of August, tax payments in Norway will be spread over 10 installments per year, replacing the previous schedule of 6 installments. Tax payments will be made each month with the exception of January and July. All other full year assumptions for the group remain unchanged. Now thank you for your attention, and Reinhard and I will now be happy to take your questions.
Florian Greger: Thank you, Alfred. Let's now come to your questions. [Operator Instructions] The first questions are coming from Michele Della Vigna, Goldman Sachs.
Michele Della Vigna: Congratulations on the good set of results. Two questions, if I may. First, on your hybrid issuance. I was just wondering how do you think about the relative attractiveness of this instrument versus a more traditional debt raising? And how much would it increase the quarterly cost of your hybrid? And then second, we are seeing very, very attractive diesel prices, very attractive diesel margins, clearly, what looks like a brilliant outlook, especially for the third quarter for you. But how do you think about the sustainability of such high diesel margins at a time when the global economy is okay, but it's certainly not accelerating?
Reinhard Florey: Michele, thanks for the question on the hybrid. I'll take that and then pass on to Alfred for the diesel margins. Regarding the hybrid and its attractiveness, we always emphasize that hybrids are part of our diversified refinancing strategy. And we have indicated that we will keep the hybrid issuance at an average level of around EUR 2 billion over the years and keep that relatively constant. Now we have an expiration of a hybrid bond in December this year. And we have already announced earlier this year that this will be repaid. So therefore, it was a good opportunity to then put up a replacement of that hybrid bond now here in Q2. I have to tell you the markets have been challenging. However, the performance of this hybrid when we issued it was excellent. So we had a very high oversubscription, and we came out with a very good pricing of that hybrid so that I do not expect that there are changes in the financial result and in the overall interest payments compared to what we had in the past. Of course, we will have a little bit higher of that still in Q3 as the old one will only be repaid by the end of Q3. And we hold the hybrid now new. But then, more or less everything stays the same. And the attractiveness of hybrid is clearly that it has a very long- term perspective as an instrument. And on the other hand, it has this kind of positive effect on our balance sheet. As under IFRS, we can show that more or less is 100% equity. This clearly is an instrument that we have as complementing to the majority of our refinancing that we do in senior bonds. And that is, I think, the diversification that we see and the window for repricing was very favorable.
Alfred Stern: Yes, Michele, regarding your diesel question, I think maybe to start with, it would be good to say that we have seen the refining segment to be volatile over the last many quarters, right? So we have seen that increased agility is something that is important, and I think that we were able to also implement in OMV to react to those different things. What we have done last year, just to recall your memory here, we have enlarged our footprint and bought into a commercial retail network in order to also have access more to that diesel market, because what we, of course, see is a change in the overall market portfolio, if you want. We see less diesel individual cars, but we, of course, also have observed the positive development of the diesel cracks in the last weeks here, driven partly by some changes in the supply chain, by some outages in the production. We are well prepared to capture this. As I said, we had a short stop Burghausen and Petrobras last quarter. But on the month before -- in the weeks and months before, we don't have that. And we have also seen July as a strong start with the refining indicator margin. So -- and as a consequence of that, we have significantly increased our outlook from previously 6% to over 7% now, which I think is reflective of how we look at that for the rest of the year.
Florian Greger: Thank you, Michele. We now come to Josh Stone from UBS.
Joshua Eliot Dweck Stone: Two for me. One on the BGI merger, and thanks for the update on the progress there. I'm sure you would have seen the European Commission opened an investigation into the Covestro acquisition by ADNOC under the foreign subsidy regulation. And I just wondered, is that something that could impact this? Does that present any risk for you? Or is that something just we should not concern us, because of the approvals you already have? And then second question, you've talked about in the past about having a Capital Markets Event in the second half of this year. I didn't see this mentioned in the release. And I just wondered, so is that still your intention? Or would you rather wait until the BGI merger closes?
Alfred Stern: Yes, Josh, thank you very much. Let me start with the BGI merger question here. Indeed, as you said, we are making pretty good progress. We have many work streams here that are looking at all the things that need to happen for the closing. And we are also receiving some of the approvals here like the foreign direct investment in Austria, the merger clearance, merger control clearance in Europe, in China, other places and moving this forward and have a good radar on monitoring the different things. At this moment, FSI is not something that we see as a hurdle for us. But of course, this is something where we always depend on the authorities and other people. And we have everything on the screen monitoring those things. And in that far, we have also seen, of course, the Covestro proceedings. But so far, we are on track for the closing in the first quarter of 2026. And maybe on the Capital Market update, Reinhard can answer the question.
Reinhard Florey: Sure, Josh. We have not revised our intention to give the market an update in the second half of the year. We have not come up with a concrete date yet. But it is clear that as we progress also with BGI and we progress with the considerations on OMV going forward, there are certainly some messages that we would like to give to the market in the second half of the year.
Florian Greger: Thank you, Josh, for your questions. We now come to Ram Kamath from Barclays.
Ramchandra Kamath: I have a couple, please. So just on the Chemical part, excluding joint venture, it's clearly visible that the volumes -- sales volumes have improved possibly 17% year-on-year and 7% quarter-on-quarter. Is there -- and -- but in your prepared remarks, you mentioned that there was a sluggish demand in Asia. So I was just wondering whether there is a diversion, how do you see the demand growth in Europe and possibly sluggish demand in Asia? And how do you see that in the second half of the year? And on the upstream, it looks like upstream production cost is moving up every quarter. I understand the production -- the declining production is one of the reason, but do you see inflationary cost pressure there and the cost per barrel could go up further in the second half with the drop in the production?
Alfred Stern: Yes. Let me maybe start with the Chemicals' sales volumes. Indeed, as you said, we had a 5% increase, including joint ventures at Borealis with polyolefins, which is showing the strong sales performance. When you look at the cracker utilization, right, despite the fact that our cracker in Germany in Burghausen was temporarily on a planned shutdown for a turnaround on the crude distillation unit. Despite that, we managed 82% cracker utilization. European average was about 75%, right? So you can see we are moving ahead quite good. I think that can be owed to multiple things. One is the setup that we have made that already over the last couple of years. We have worked hard and made investments to position also our European crackers very well in the European cash cost curves. That allows us to do that. We have done that through in the Nordic crackers, either having flexible feedstock capability to take advantage of light feedstock such as ethane, LPG, butane and so on, right? And making sure we can use that in Central Europe through the full integration of refinery crackers, petrochemical assets. So that gives us that capability in order to drive that. Also, what we have seen is some of the imported volumes such as from Borouge and Baystar have increased that Borealis sales for them as a distributor basically. And here, I do think that is showing some of the strength of the setup that we have there. It was a little bit differentiated because we could, in particular, see some strong growth in consumer products and infrastructure pipe kind of products, but also the Energy segment, so Specialty went very well. And Mobility, we are still also seeing healthy demand more on a flat year-on-year kind of basis. But the Specialty segments are, of course, important to us because they have high margins. The Asian sales were affected both by the market picture, but also we had a Borouge 3 turnaround. And Borouge 3 is the biggest asset that we have in Borouge. So that definitely had an effect in the quarter. And last but not least, I do want to mention in Borealis, we had an upgrade to SAP S/4HANA that was in the beginning of July. Went well. We are a continuous operation. We had no interruptions and everything. But there was some pre-selling also from that in the second quarter to manage these kind of transitions. So in total, and that you see from our outlook that we have revised, we went from 4.1 million tons that Borealis is intending to sell to 4.3 million tons. So you can see that we have an outlook that this trend will continue in the second half of the year. On the upstream production cost, I would want to say that what we have there is -- your observation is correct, right? So through the reduction of production volumes, mainly through the divestment of Malaysia, we see that the cost per barrel has increased further slightly. However, our absolute cost has remained flat, and that is an effect of some significant cost reduction programs that we have in execution and that we will continue to execute in order to counteract that effect that you observed there.
Florian Greger: We now move to Henry Tarr from Berenberg.
Henry Michael Tarr: Two for me. One is, could you say a little bit more about what you're targeting in the new exploration in the Black Sea? That would be interesting. And then secondly, could you remind me what the loan to Bayport referred to? It's a sort of significant moving part in the cash flow, I guess, this quarter.
Alfred Stern: Okay. Let me start with the exploration in the Black Sea and then Reinhard can maybe answer the Baystar loan question. Exploration in the Black Sea is actually a license that we acquired also from TotalEnergies last year. And that is a license that is neighboring to Neptun Deep. So if you want in the neighborhood of our Neptun Deep project, where we believe maybe similar geology. However, it's in the Bulgarian waters in this case. And what we are aiming to do -- what we have first done is that we brought -- OMV Petrom has brought NewMed in as a co-investor into this. And we are now targeting -- Petrom is now targeting as the operator to start some exploration drilling before the end of this year. And we want to then complete two exploration drills to identify what the recoverable reserves would be there actually.
Reinhard Florey: Yes. And maybe, Henry, a quick comment to the loan to Bayport. Actually, Borealis has given to Bayport a share of the shareholder loan. So both parties, TotalEnergies as well as Borealis have provided loans to this asset. And those loans were actually externalized. So that this loan was paid back to Borealis. That's the cash inflow. And Bayport took a loan from several local banks in the same amount so that the liquidity for the company is upright. And therefore, we can see this kind of liquidity increase and cash flow for Borealis coming in, in the magnitude of EUR 656 million. That was the totality of the shareholder loan.
Henry Michael Tarr: If I could just have one follow-up from that. Does the 22% rough gearing guidance after the merger still hold?
Reinhard Florey: That is exactly the prognosis, because we have kept our leverage ratio now for the second quarter exactly at the same level as the first quarter at around 12%, which is, of course, an excellent level. And nothing has changed also with the magnitude of the equity injection, which at a valuation level of 1st January 2025 was EUR 1.6 billion in effect. With all the balancing of the dividend payments, it will be around EUR 1.5 billion. And that is more or less the change in the leverage that we see. Other than that, we do not see a major deviation in the cash flows that we expect for the rest of the year.
Florian Greger: And next is Matt Smith, Bank of America.
Matthew Smith: I just had one question around dividends. And it's good to hear you, sort of, reiterate the intention with the CMD later this year. And I think one of the obvious items that the market is looking for an update on is the dividend policy post the BGI transaction. But as I understand it, that will be relevant for full year '26, which leaves full year '25 to come first. So the question really is whether you will be wedded to the 20% to 30% CFFO ratio for full year '25. And I think this is a bit of a focus area given as you highlighted, the cash flows in the first half year-over-year are now down 19%, at least the first half performance. So I guess my question really was whether you were comfortable reducing the dividend, at least in a total DPS perspective for full year '25 before presumably returning to a growth trajectory with the benefit of BGI after that.
Reinhard Florey: Thanks, Matt, for the question. So to your first statement, yes, of course, we can confirm that in the context of Capital Markets update, we will also comment on the dividend policy going forward with BGI then being present. But as you rightfully say, this will be as of 2026, the relevant dividend policy. For this year's dividend, the current dividend policy will be applicable and nothing has changed with this dividend policy. So still the 20% to 30% range will apply. We are still clearly below 30%. So therefore, the dividend will again contain two parts, base dividend, which follows the progressive dividend nature as well as a special dividend according then to the range of the 20% to 30% that we have in operating cash flow.
Florian Greger: And now we come to Matt Lofting, JPMorgan.
Matthew Peter Charles Lofting: Two, please. Just on Chemicals, firstly, I guess EUR 200 million operating profit for the division in Q2 includes the benefit of not depreciating at this point, Borealis. And the quantum of uplift on your full year marker margins in the outlook sort of seemed a little cautious perhaps relative to the run rate that we saw in first half and Q2. So I just wondered if you could share your sort of latest feelings on the outlook 3Q and beyond for the industry and the extent to which if there is some caution that is sort of influenced by tariff inclusive factors and the sort of the wait and see on that. And then secondly, I just wanted to actually just follow up on the comments you made earlier on the BGI merger process. I wasn't fully clear from that, whether you think there is a possible read-through or not from the recent developments on Covestro ADNOC. And as part of that, perhaps if you could clarify whether there's any further EU-related approvals outstanding in addition to the merger control clearance, which I think you said had been received already.
Alfred Stern: Okay. Maybe let me start with the Chemicals market, and then we'll follow up on the BGI merger. So I would maybe start with saying if you look at our revised forecast, right, or revised outlook for the year, we have increased the European indicator margin outlook for ethylene and propylene. When previously, we were at around EUR 520, around EUR 385 for ethylene and propylene, we have start saying now above EUR 520 and above EUR 385. Polyethylene and polypropylene, we were around EUR 400 per ton, and we are now saying for polyethylene significantly above EUR 400 and continuing around EUR 400 for polypropylene. At the same time, we are also saying that our sales volumes will increase. Our outlook is going up from 4.1 million to 4.3 million. And I think I would take that in a difficult market environment. We do see that we will continue to push very hard to take advantage of the strength that we have in segments, in particular, Specialty segment, but of course, also our setup on the cash cost curve in the European segments in particular. So I think, Matt, it will continue to be a market environment that will provide both challenges and opportunities. And we will see how this continues to move forward. I think, we are in a strong position with the high specialty portion that we have in our sales and with the Feedstock flexibility that we have. Borouge 3, the turnaround is finished and that will move forward. And while, of course, nobody can be happy with 15% tariffs, I think at least there's clarity and that will help to, let's say, move forward again on some of the wait-and-see positions. Maybe on the BGI merger, I can ask Reinhard to help, maybe he can make it a little bit clearer.
Reinhard Florey: Yes. Sure, Matt. I think, the scrutiny taken by EU on the Covestro deal, of course, is a completely different setup than what we are talking about in BGI. The Covestro is a public takeover process. In our case, this is a merger of two companies in which both parties are already invested in. And ultimately, both parties come out with equal rights and equal share. We are also seeing that there was no investigation hindrance or delay when the shares in OMV were taken over by ADNOC, quite some time ago. So therefore, the whole topic that is now raised with Covestro didn't apply in that case, and we are not expecting it to be applied here. I think Alfred made it very clear, we can never completely anticipate what happens in authorities. But from the legal point of view that we see and just from the facts of this transaction, this is completely different and cannot be directly compared. And with preconditions set, we do not believe that there is any reasoning for a delay or a change in attitude of EU. EU has given merger clearance already, and that's where we are continuing on that.
Florian Greger: We now come to Oleg Galbur from ODDO BHF. I hope you can hear me well.
Oleg Galbur: I have two and both are on the Energy segment. So first, could you please provide some details on the nature of the litigation gains in Romania? And maybe tell us how big was the impact in euro terms? And secondly, on Electricity price regulation in Romania, now that the regulation has expired, where would you see the contribution of Gas and Power East business? In other words, is it fair to assume that the business can reach earnings levels seen before the regulation was introduced?
Reinhard Florey: Yes. Thanks, Oleg, for the questions. Regarding the litigation gains in Romania, actually, this is concerning a case that is already quite some years ago when a VAT dispute was raised. And actually, the VAT that we had to pay at that time in OMV Petrom was contested by OMV Petrom, because they saw it as unfair and the legal litigation was successful. And therefore, this amount was awarded back to OMV. That is currently still only in the books. The money still has to flow. And it contains of two parts. One is the award. The other is the interest, the forgone interest, because it is a couple of years ago. So therefore, this is a good development and a good success for OMV Petrom, and we expect the money to be flowing then also concretely in the second half of this year. To your second question, electricity price development. Indeed, the difficulty with the regulation was that we were not able to really pass on the cost of the electricity production in an adequate way into the market. And the EU supported and actually required deregulation didn't happen for that period of time. This was for the local Romanian market, and there was just a cap on that price, which now again has been lifted and the market is open again. Now yes, we are expecting that profitability will return. We are expecting that also no further regulations would be put in place. So in principle, the old level can be reached. However, we are expecting that markets are reacting cautiously over time. So this will be a recovery over a quarter of -- a couple of quarters. And so therefore, there will not be an immediate full recovery in our estimation in Q3, but we see that as a very positive development that also strengthens the profitability profile of OMV Petrom.
Florian Greger: We now move to Sadnan Ali, HSBC.
Sadnan Ali: My first one is on your cash flow. If I look at your pre-working capital cash flow, you've had quite large swings versus consensus expectations over the past few quarters. In 3Q '24, you had a 15% beat; in 4Q, a 10% miss. Last quarter, a 9% beat; this quarter, 13% miss. So do you have any thoughts here on what's going on? Are you doing a bad job at modeling your cash flow? Any thoughts there? And secondly, please, Alfred, you've decided not to stand for reelection after your term ends next year. Do you have any thoughts or comments you'd like to share on this? And what can we expect in terms of timeline of succession announcements and plans going forward?
Reinhard Florey: I'm happy to comment on the cash flows. Yes, you are right. There have been quite some swings. However, I have a certain suspicion that the market was not able to fully grasp the impact of the tax payments. So while in the P&L, we are booking the tax as they actually come in the average of the year. In the cash flow, we, of course, have to show what we are indeed paying and we pay according to the required installments. And there are two special effects. First of all, in the past and that still applied to the first half of this year. In Norway, there were six installments, which were not evenly distributed throughout the year, but there was one in the first quarter, two in the second quarter, one in the third and two in the fourth. That means in the second quarter, we have double the impact in cash flow for paying taxes. And the second applies to Romania, where there is no tax installment in first quarter, but then in second quarter, the whole tax for the full first half year. That means there is also an impact that there is a higher cash outflow from tax in Romania. That, of course, will smoothen now with the new tax legislation in Norway, where we have 10 installments, which means two in first quarter, three in second, two in third quarter, three in fourth quarter. So that means it is not entirely even, but the impact of difference is much lower. And that, I think, helps also the predictability and the volatility of these cash flows. Then, of course, compared to Q2 2024, we have to see that, of course, also the basis for tax payments and the general cash flow from operations was significantly higher. There, 2025 was impacted by lower oil prices by adverse development of the exchange rates. And therefore, there is a seemingly lower specific operational cash flow number in energy in the second quarter. But again, this will level out in the third quarter again, and we are expecting a higher cash flow there.
Alfred Stern: Okay, Sadnan, and to your second question, maybe let me start with just saying, look, to not stand anymore is a personal decision that I took for myself, there's a right time for everything. And I thought this is the right time to hand the -- put on over to the next person here and go on the next steps. I think so far, we were able to make very good and significant progress in the Strategy 2030 implementation and the transformation of OMV. And I'm also confident that there are several things that we can move significantly forward or finish before the end of my term here, such as the closing of Borouge Group International, for example. And I'm committed to make these things happen and drive them forward. I can see also in the company, everybody is focused, and we continue to work and be professional in driving this forward. As to the replacement, this is -- or the succession, this is actually a process that is driven according to our governance by the Supervisory Board. But I can say that I wanted to make sure that enough time is available to have -- to run a proper process. And I and the Supervisory Board, we are committed to an orderly transition process. And that was important also why to give enough time. And of course, we will update you as soon as possible. Right now, it's a little bit too early, but we'll come forward because that transition process will -- is important to all of us.
Florian Greger: We have now Bertrand Hodee, Kepler Cheuvreux.
Bertrand Hodee: I have just one, quite a direct one for you, Alfred. Would you be keen on having a role at BGI going forward?
Alfred Stern: Bertrand, thank you very much for your question. Look, I'm fully focused on delivering here progress with the strategy at OMV. My term ends next August, and I will continue to focus on the advancement of the OMV strategy. On Borouge Group International, we have agreed with ADNOC that on an Executive Board of three people, a CEO, a CFO and a COO. And we have agreed that we will make a merit-based selection of those people and the process has started. I'm committed to participate as OMV CEO in the selection of these people according to that merit-based process.
Florian Greger: Thanks, Bertrand, for your questions. We now come to the end of our conference call and would like to thank you for joining us today. Should you have any further questions, please contact the Investor Relations team. We are happy to help. Goodbye, and have a nice day.
Alfred Stern: Thank you very much. Have a good day.
Reinhard Florey: Thank you. Bye-bye.
Operator: That concludes today's conference call. A replay of the call will be available for 1 week. The replay link is printed on the invitation or alternatively, please contact OMV's Investor Relations department directly to obtain the replay link.